Operator: At this time I would like to welcome everyone to the BLADEX’s Conference Call.  It is now my pleasure to turn the floor over to Melanie Carpenter.  Ma’am you may begin your conference.
Melanie Carpenter: Thank you. Good morning everyone, and welcome to the BLADEX’s Fourth Quarter and Year End 2007 Conference Call on this 20th of February of 2008.  This call is for investors and analysts only.  If you are a member of the media, you are invited to listen only, but if you have any questions, please follow-up with us after the call. Joining us today from Panama City, are Mr. Jaime Rivera, the Chief Executive Officer of BLADEX and Mr. Carlos Yap, the Chief Financial Officer of BLADEX. Their comments are based on the earnings release issued yesterday.  A copy of the long version is available on the website and the new web address is www.bladex.com. Any comments that management may make today may include forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995.  Those comments are based on information and data that is currently available.  However, the actual performance may differ due to various factors, and these are cited in the Safe Harbor Statement in the press release.  And with that, I will turn it over to Mr. Jaime Rivera for his opening comments.  Please go ahead Jaime.
Jaime Rivera: Thank you, Melanie. Good morning, ladies and gentlemen, we are delighted to have you join our conference and we thank you and for your time and for your continued interest in BLADEX. The February conference has always been special to me because we get to review the year that was and say a few words about the year that will be.  Given our performance in 2007, telling you about it is actually quite straight forward.  On the other hand, talking about 2008 in the midst of so much market dislocation, it is a bit more challenging than usual.  So, given the state of the markets, I thought I would concentrate my comments on the impact on our business during 2008 of this dislocation.  And we will then ask Mr. Carlos Yap to review and add color and detail to the figures for 2007 in the context of what we have done over the last three years. Everything else of course that you might want to know, we can address during the Q&A session.  So I thought I would start my comments by going back and reviewing and restating if you will, some of the basics to keep in mind as we move forward.  Just what is the vision that has brought us here and that will continue to drive our efforts moving forward.  To put it in a few words, we have aimed and we aim to build our growing business geared around a growing market where we enjoy unique competitive advantages.  It is as simple as that. The growing market part refers of course to Latin America and it is very close, which are growing, not only in absolute terms but as we have seen also giving rise to more and more product demands and this is how we grew our loan portfolio 25% last year.  And this is how we increased the commercial divisions contribution by 25% and this is how and how and why we deployed leasing and this is how and why we are in the process of the deploying factoring and this is how and why our corporate business since then had grown from very little to constitute half of our client revenue in just a couple of years and this is how we have achieved the scale that we needed to achieve, to be able to introduce market risk revenues into our business mix. This is what has allowed us to nearly triple our operating ROE in just three years.  And of course, this is what will allow us to continue making improvements in all our returned indicators.  Just to mention and to remind you of our unique competitive advantages that we enjoy as we go about this, this includes importantly our government share holders, our traditional knowledge of the entire region, the strong client loyalty that we have built over many years and our agility. So this is the reason that allowed us to meet as you will see and hear from Mr. Yap in a few minutes our goals of 2007.  And this is the same reasoning that will carry us forward in 2008 and beyond.  Except that of course, as applied to the uncertain conditions of the market today, several questions arise and this will serve, for one careful consideration and clear answers. Let me see if I can address some of the ones that come to my mind.  First, there is a question of whether growth in our markets can be expected to continue supporting our growth in 2008 as it has in the last three years.  Well, if you ask the economists, they will tell you that, in spite of the slowdown in the US, in the European Union, and in China in particular, Latin America could still grow this year around 4.3%, currently lower than last year’s 5.4% but still, plenty goods to fuel our business.  This is the economy’s view from a more practical down to earth business perspective, given what I have seen.  It has now been six months since the market went schizophrenic, sometime in August, and the fact is that during that period we have not seen, I have not felt any significant impact on the trade clause that fuel our business. The fact is that, the real part of the economy in Latin America in which we work is doing on the whole plane with some notable exceptions of course, but is doing fine.  On the line of this are demands for the regional products.  And in this regard, significantly, I can tell you I have been to China, for instance.  And because I saw it, value of the conserved land being turned into skyscrapers and I have heard government officials in China tell me in my face how their country will continue defending Latin America for its grain and mental needs. So, we are saying, that demand for our products will continue to be reasonably strong under most likely economic scenarios.  In summary, yes, we think Latin America will slow down this year.  But no, we do not expect that the impact of this slow down on our business will be that relevant.  So, that answers the first growth question.  But more importantly, if we look at it physically and beyond 2008, we think that the economic changes have allowed Latin America to become less dependent.  Not independent mind you, but certainly less dependent from the US economy are now structural in nature not only in Latin America but also in Asia and in Eastern Europe and in the Middle East and in Russia and not only in other markets but now demand our products, and structure for the purpose of this conversation, for all of means sustained. In our view, Latin America’s quick flows and with them BLADEX and our business will continue growing, in spite of occasional and temporary slow downs like the one we are facing in 2008. The second question that comes to mind geared around what is happening in the market, refers to the impact on possible economic slowdown on our portfolio quality.  Well, you can imagine we have looked in to this issue quite carefully and concluded that the impact should be limited.  Our portfolio is well diversified.  Other than bank, no one industry segment represents more than 9% of the commercial portfolio.  And it consists of exposure to companies with long leverage ratios and substantial operating margins.  So their ability to withstand the pressure or stress is quite good. Next, and importantly of course is the question of liquidity.  Now, if you have been with us for a while, you know that liquidity management has always been one of BLADEX’s strength and the fact is, that during the fourth quarter and in spite of all the market appeals we were able to both strengthen our liquidity and grow the commercial portfolio by a healthy 6%. Now, let us be clear.  Liquidity is still tight and in our opinion will remain so for some time, whatever sometime means.  And clearly, funding has become scarcer and more expensive, there is no escaping that.  For profit and loss terms, and this is a critical issue, in profit and loss terms, the benefits that these tightened liquidity has brought to BLADEX in terms of reducing petition, one, but especially improve pricing on our assets filed with the impact of the new political strength.  During 2008, as Mr. Yap will explain, we expect our growth in net interest income to be driven more than pricing than by volume.  And this will represent the reversal of the trend that we have seen over the last three years, actually a welcome reversal. Next, I know there have been also questions that rate and these are valid and very good questions about volatility, particularly of course as related to the market risk that we are on in our treasury and in our asset management operations. Now, the reality is, as you might remember, we speak about volatility as a threat at every conference call.  But still, the fact is that we make money trading every quarter during last year.  That time was great but statistically, I would expect that given the levels of volatility that exists today, which have more tight than they were a year ago.  We can expect that for this year, the month to month distribution of trading profits.  I do not know, whatever is expected value of $1.2 million would be wider.  We can expect more volatility in our trading results on the year.  That is just a fact.  Let me reiterate what I have said before, the market ratio that we are on is focused entirely on Latin America and hence, clearly, this has also been discussed at length in our conferences before, subject to a number of limits, limits that have been stressed, have been proven under the rest and proven to work well. Finally, and related to our market risk, a word about business is that, we do not engage in. As the press release makes clear, we never had nor we do we intend to have any exposure to the subprime market, to CDO’s, to the modern line insurance companies or to really any of the activities being derived with so many concerns and surprises in the financial industry.  All of these business and CDO’s and alike are very scarcely moved from the scope of what we do.  So, if you are worried about BLADEX and subprime or anything of that nature, do not. We are running risks.  Sure, I have just told you about some of them, that is what we do for a living after all.  But we run risk in businesses that we know and then we understand well and we do not know and we do not understand the businesses that are causing problems in the market as of today. To close, it is a thought regarding the current state of the market, I like to make what I believe as I feel the company is an important statement.  Beyond the numbers that Mr. Yap is going to talk about, beyond the improved pricing that were seen.  Beyond the lessened competition that is benefiting us, et cetera.  The circumstances in the market are highlighting BLADEX’s key importance for Latin America and for our clients.  And the benefits of this, in terms of a strengthened franchise will be permanent.  It will be permanent.  So once things calm down, and if you have been around the market long enough, you know that they always eventually do.  When they come down, our competitive position in the market will have strengthened even further.  This ladies and gentlemen is hugely important for the company. So with this, let me turn things over to Mr. Carlos Yap, our CFO.  This is a special moment for me because Mr. Yap will leave BLADEX in just a few days for bigger and better things in his life.  At least after a full 27 years of distinguished service to the company, we had announced the change back in November in New York but now that the moment is here.  I feel sad about seeing a friend that has been with me at my side since the early, extremely difficult days when I first came to the company in 2002 and whose sales and support were critical too much of what we have done together. Over the years, Carlos built a great reputation for integrity, transparency and professionalism, so I want to thank him publicly for everything he did for our company, for our shareholders and personally for me.  As far as Mr. Yap’s replacement is concerned we are very lucky and very fortunate to have Mr. Jaime Celorio, joining us from Merrill Lynch in Mexico.  I am very fortunate really to be able to enjoy our three-month transition period between Mr. Yap and Mr. Celorio to make sure  things to continue to run smoothly. I would have the pleasure of formally introducing Mr. Celorio to you during our next conference call, but for now, and I guess for one last time, I will ask Carlos to take it away and please tell us about the numbers.
Carlos Yap: Thank you Jaime and thank you for you for your kind words, it has been really a tremendous experience working with you and I am sure, I will leave BLADEX in great hands.  Good morning everyone. Let me briefly walk you through the financial results, which reflect a continued strong performance of our business areas. Fist of all, I would like to highlight the strong financial performance of the bank not only in 2007, but also during the last three years, which have validated our advanced business model and solid business strategy.  Operating income increased 83% during 2007.  From 2005 through 2007, operating income grew 58% per annum, driving operating ROE from 4.6% in 2005 to almost 12% in 2007.  As Jaime mentioned, increasing our ROE remains the focus of our company.  This operating earning’s growth was ruined by the steady increase of our commercial portfolio of close to 20% per annum, as seen as a strong demand and the expanded client based mostly in the corporate sector produced better spreads than lending to banks. This helped us to achieve stable margins in a highly creative environment for most part of this period, the other key factor, was the diversification of our earnings, which in the past was heavily dependent on net interest income.  Today, it is 65%, mostly due to the successful transformation of the treasury function into a revenue center.  This strong overall operating income growth was achieved while maintaining a strong balance with a Tier 1 capital ratio of 21% and generic reserve for trade losses of close to 2% of the commercial portfolio.  It is important to mention that the bank has not reported any non-accruing, nor back past loans in the last four quarters. Our liquidity ratio has increased in recent months to 8.4% and about 70% of our commercial portfolio matures within one year.  Deposits have also increased 38% in the last year.  To finalize this three-year performance recap, let me mention that operating efficiency improved from 46% in 2005 to 34% in 2007, in spite of growing expenses, as revenues are growing at a faster pace, our investments in people, technology and initiatives during the last three years are paying off. Fourth quarter results followed this same performance trends.  Operating income was $15.8 million up 4% from the third quarter, driven by 9% increase in net interest income, increasing the net interest income was not only the result of the growing average loan portfolio which continues to grow at a rate of 6% on a quarterly sequential basis or also from increased lending spread reflecting more demand, marketability and a less competitive market environment.  When our lending margins over LIBOR were increased 7-basis points during the quarter, our cost of funds over LIBOR only increased 3-basis points, which reflects our balance mix of our funding structure, the rating upgrade from Moody’s and the slight equality in the market. As a result, net interest margins increased 4%, 4-basis points during the quarter.  Going forward, net interest margin should be impacted by increasing lending margins, as an indication, average lending spreads over LIBOR on new loans dispersed during the quarter increased by 13-basis points.  The full effect will be seen in the following quarters.  How long these increased lending margins will last and will depend of course on market conditions. Wider lending margins because of strong liquidity levels and the negative effects of further lowering interest rates environment in our available capital funds which I invested including LIBOR sensitive instruments such as loan securities and money market instruments.  In terms of loan volumes for 2008, it should follow that two to three times multiple of GDP of the region, which is expected to be close to 4.3% that we should expect commercial portfolio growth of at least 8% to 12% for 2008.  Fees in commission increased 35% during the quarter as a result of increased level of upgrades and guarantees activity.  Going forward, we should expect a stable level of these fees and commission.  Additional fees should come from the deployment of the third party asset management and factoring. The first quarter, we are just starting our first round of marketing visits in London and Geneva to offer our asset management fund for outsiders.  Thus we would expect to see results during the second half of this year.  It is too early to talk about volumes, although those do not require large volumes to have a significant impact in our fee income base.  In the next call, we will have a better idea.  We are contemplating a classical fee structure of 2% to 20% for this business.  In terms of factoring, it will employ by mid year, so we should expect significant revenues for 2008 or rather forward to 2009.  During the quarter, we sold a portion of available for sales bond portfolio generating gains for $2.2 million which I have said lowered trading gains. Operating expenses increased 14% mostly related to seasonal end of the year employee performance based compensation related expenses, other one time items including legal fees related to the development of business initiatives and travel and marketing expenses.  For 2008, increased expenses will be a function of maintaining current levels of operating efficiency of about 35%.  The net increase in provisions for trade losses was about $200,000.00 during the year basically the allowance for loan loss has declined $3 million as a result of changes in the mix of the loan portfolio in countries per file and on the other hand, the allowance of balance sheet trade risk was increased $3.2 million to reflect length of credit exposure in higher risk markets.  Overall provisions coverage remains close to 2% of the total commercial portfolio. Going forward, we believe that the overall country rates in the region should improve while individual client risk could deteriorate so for 2008, the net effect of provisions should not be a relevant factor.  In terms of our business segment, the commercial divisions operating income was $11.4 million up 6% from the previous quarter thereby increasing additional volumes and higher lending margins, our treasury divisions operating income was $2.8 million compared to $0.8 million in the third quarter reflecting the sale of bond available for sale.  This quarter, we are showing under separate business segment our BLADEX Asset Management Unit or BAM.  BAM’s operating income for the quarter $1.5 million compared to $3.7 million in the third quarter. All in all, a good solid quarter. And finally, it is my final quarterly conference call with you, I want to express my deepest thanks again to Jaime, the Board of Directors and of course to all of you, the analysts and investors whom I have had the pleasure to work with and get to know over the course of 15 years since we went public.  The experience and knowledge gain have been priceless. I am confident that the transition to Jaime Celoria will be seamless in nature and you will find him knowledgeable as well as eager to help you understand the bank and its growth prospects. Once again many thanks to each and everyone of you.  Let me now turn it over to Jaime.
Jaime Rivera: Thank you Carlos and ladies and gentlemen, we are open to your questions.  We are delighted to talk about 2007 or to give you any guidance that we can for 2008.  So please go ahead and ask your questions.
Operator: (Operator Instructions) Our first question is coming from Fred Morris of JP Morgan.
Fred Morris: I had a quick question from the margin, you have touched upon this already but could you tell us again about your guidance for 2008 as you mentioned that funding would be more expensive in 2008, how do you see the margins for the next quarter?
Jaime Rivera: A general statement first, the environment in the market benefits us because although our cost of funding is increasing, we have seen a significantly higher increase in our ability in the past to increase cost for our clients, so in other words, yes our raw materials are becoming more expensive but the pricing we were able to charge for our products is increasing at even faster rates.  You saw the figures that Carlos mentioned for the change in spreads during the fourth quarter.  Now, what I can tell you is that during the first quarter so far, we have seen that trend, not only to continue to accelerate, our question really is, how long will these trends remain?  For budgeting purposes, we are assuming that the spread, as they exist today, we are going to be the ones that will guide those through the end of the year and with those spreads, we are looking at a fairly good year. If spreads continue increasing at just a couple of quarters more, the impact on our net interest revenue the positive impact on our net interest revenue.  Even if we were not to grow the balance sheet as a whole would be significant if you run the numbers, based on that, and add on top of the increased spreads, a portfolio growth of somewhere between and 8% and 12%.  You will see that 2008, everything else being equal, should prove a very good year for the bank and an improvement over 2007.  So the question in our minds really is, how long will I agree to remain sides and we figure another six to seven months to re-price the entire field portfolio.
Operator: (Operator Instructions) Our next question is coming from Titolo Barlow from Deutsche Bank.
Titolo Barlow: Could you mention about this new guidance and turn up growth from fees and expenses for 2008? What you are expecting for growth and fees and expenses for this year? ]
Carlos Yap: Basically, what we said was the investment of fees, during the fourth quarter we had an increase and decreased these levels for fees should remain for the rest of 2008 and the addition increase should come from two sources, one is our asset management fund, which we are growing now, we are starting to market to investors and from factoring.  Basically, the results of that would be mostly in second half and in terms of factory Mostly, I guess in 2009.
Jaime Rivera: To add color to that, I kind of mentioned that before.  It does not take much in the way of assets on the management for it to make a significant impact on our fee income line.  We are starting to sell in Europe as we speak.  We have our team in Europe today.  By the time we meet in April, we will be able to give you a better estimate of what we expect in terms of volume.  Interest as I have said before has been quite significant but it will take us three months to see how much that interest translates into how much assets on their management for us.  The summary of the question is assumed for the purposes of your modeling.  We will remain at the level of the fourth quarter and by next April we will be able to tell you how much to increase that number based on asset management and factoring. In terms of expenses, our guidance there is basically the operating expenses base we have or the way we look at it is before 2008, we look at it in terms of our operating efficiency, operating efficiency, that is expenses to revenues, now about 35% and basically the guidance, we could give you is that, it is our intention to maintain that 35% business ratio.
Operator: (Operator Instructions) Our next question is coming from Arthur Burns with Deltec Asset Management.
Arthur Burns: Now, that you have talked about how you are not affected at all by the turmoil that is going on in the market.  It would seem to me that there are opportunities for you because you have liquidity, where a lot of other people don’t and your balance sheet is relatively unlevered and I know the company got in trouble before and you maybe being extra cautious.  But wouldn’t this be a time to lever up a little bit and take a little bit more on than you are currently doing and I guess my question is what are your targets for leverage?
Jaime Rivera: Mr. Burns that is of course a very sound and a very difficult question at the same time. If you allow me, because it is an important subject, I will give you somewhere of a long answer, would you allow me or give me the benefit of that?
Arthur Burns: I welcome that as long as you allow me one followup.
Jaime Rivera: Okay, the first part of your statement is absolutely in line with what we think.  We are ideally positioned to take or make use of a number of very good opportunities that are arising in the market and we are being very opportunistic about the way we go up out of business.  There are some wonderful opportunities, very, very good intermediation opportunities that are arising in the market with clients that we know.  Operations that are specially attractive.  And we are intending to make use of that both in our commercial portfolio and in our training operations.  So, your thinking is precisely aligned with ours.  Then covering the question of leverage, if we take a look at the last three years, you have seen how we have continuously or improved or leveraged the company.  Putting it in other words, our capitalization has diminished.  It is still very strong at Tier 1 covering around 20%. The question is, as we look at leverage and we look at this very carefully.  Capitalization from our perspective metrical field are sometimes and most of them are conflicting work with it.  First, capital has to protect you against unexpected losses and I think that the experience of a number of things in the market over the last few months that thought they were adequately capitalized speed to the great cost that our company can incur if it gets the asset to that question, wrong. We think that given the type of business that we are on, the type of which that we intent to run.  In 2008, we are adequately capitalized to withstand any unexpected loss.  Secondly, capital has to fuel your growth and we believe that the capital that we currently have gives up the strength and the whereabouts and the ammunition to fuel to growth that we see in the market in 2008.  And certainly you have to balance a lot of those considerations we have returned.  It is clear that increasing ROE becomes more difficult as you increase capitalization. So, we are balancing that as we continuously review.  I have two comments to make.  You have seen over the last three years, the leverage of the company increased.  All other things being equal and you probably, you will, you should expect to see that process continuing unless of course things change.  If great levels in the region increase or great levels in our markets, or our abilities increase beyond the point where we see them going, we will slow down on this situation until the situation returns to normal.  But I stand back on what I have been saying now for the last three years, in time, all of the things being equal.  You will feel this company’s level as we turn to what had been historical terms of capitalization, somewhere in the area of 14% to 16%.  Does that give you a flavor for what you wanted to know?
Arthur Burns: Absolutely, and my follow-up question would be, to go from the 21% to 22% , 14% to 16%, is there demand out there for what you offer at rates that are acceptable and risk levels that are acceptable for you to gear up that way or do you think that you have been doing all you can in the market you are in.
Jaime Rivera: The business growth in our business has not slowed down, after five months of market upheaval the business flows have not slowed down, competition has diminished and that of course a lot of to be much more choosy about the type of business that we do.  We do however face a liquidity constraint.  There is more business out there for us to do right now, than the amount of liquidity that is available to us, particularly because we want to grow while keeping a very solid liquidity position. The answer to your question is, yes, there is more than enough business for us to do out there, the condition under which we can do the business much more favorable to as when they were in the past. But we do have a liquidity constraint that has not been a problem so far again during the fourth quarter, we grew the business and we improved liquidity.  But then again, we will have to manage and as the year goes by and if liquidity tightens even further, what will probably happen is that we will do fewer deals at higher margins and probably do the same amounts of money or maybe even a bit more.
Arthur Burns: If the year goes as you hoped, is it fair to assume that the dividend policy stays as it has been?
Jaime Rivera: It is better to assume that the company’s philosophy regarding – I think it is improving over the last four years.  With increasing operating earnings, we will increase the dividends.  We will remain in place.
Operator: Our final question is coming from Maxwell Vanderbilt with UBS.
Maxwell Vanderbilt: My question is, in your earnings report where you have, BLATEX asset management, does that defer operating income, is that trading?
Jaime Rivera: Yes, most of it is trading, as for the year comes in at $18 million and you referenced that your operating interim increased by $18 million, mostly driven by trading.
Carlos Yap: We have some net interest income of course and expenses, which are small but most of the revenues are trading income.  That trading income, on our proprietary fund and it is that fund that we are offering to third parties, starting now.
Maxwell Vanderbilt: Okay, the other question, I believe you mentioned earlier that avoided the bullet of the sub prime mess but I am just wondering if you have any exposure in that collateralized set of obligations?  Excuse me, credit default insurance is really what I am looking for.
Jaime Rivera: No, we don’t.  In fact, to tell you frankly, when this old message exploded, I actually have to learn what some of these instruments consisted of, because we have never been exposed to CDO’s and alike, and so, no, nothing regarding insurance, nothing regarding CDO’s, nothing regarding any of the concerns that I worry in the market.  We did look for some other things that we did, we have two loans, I can tell you.  We have two loans, where we enjoy insurance coverage not that most of the companies needed them but they wanted to get a better rate so they got insurance coverage, we looked into the insurance coverage, and into the insurance company and those are two very strong insurance companies, nothing to do with the (inaudible).  And that is it.  That is really it.
Maxwell Vanderbilt: I appreciate that, I think a lot of us have been going to school for the last week, trying to figure out what the boys have been doing for the last two years.
Jaime Rivera: I have to do the same thing because, to tell you frankly, we have to review all or our counterpart facilities to “devoice”.
Operator: We have a follow-up question coming from Fred Morris with JP Morgan.
Fred Morris: Actually my question has been answered, thank you.
Operator: Thank you, we have no further questions at this time, I like to turn the call back over to Jaime Rivera for any closing remarks.
Jaime Rivera: Thank you.  Well, ladies and gentlemen, I realized that many of you, who are sellers, analysts, and rating agencies, has been with us since the Board of Directors gave me the privilege of becoming the CEO of this company in 2004 and during this time, we have achieved a remarkable progress, keeping the soul and the purpose of the company intact, while changing its form dramatically, to adapt it to market trends that we correctly identified four years ago.  In this sense I think that 2007 clearly showed that our strategy is sound and that it results in steady improvements in our earnings deposit.  And it is based on this strong track record that we stand as we look forward to 2008 and beyond.  Our track records speak to our ability to fulfill the promise that we have been making to shareholders and the market alike since 2004. And with that, ladies and gentlemen, I would like to again thank you for your attention, I wish you the best during the coming three months and look forward to our next conference. Thank you very much.
Operator: Thank you. This does conclude today's BLADEX conference call. You may now disconnect and have a wonderful day.